Operator: Good day, everyone. Welcome to the Earnings Call for Western Alliance Bancorporation for the First Quarter 2015. Our speakers today are Robert Sarver, Chairman and CEO and Dale Gibbons, Chief Financial Officer. You may also view the presentation today via webcast through the Company's Web site at www.westernalliancebankcorp.com. The call will be recorded and made available for replay after 2:00 PM Eastern Time, April 21, 2015, through Thursday May 21, 2015 at 9 AM Eastern Time, by dialing 1877-344-7529, pass code 10062576. The discussion during this call may contain forward-looking statements that relate to expectations, beliefs, projections, future plans and strategies, anticipated events or trends and similar expressions concerning matters that are not historical facts. The forward-looking statements contained herein reflect our current views about future events and financial performance, and are subject to risks, uncertainties, assumptions and changes in circumstances, that may cause our actual results to differ significantly from historical results and those expressed in any forward-looking statement. Some factors that could cause actual results to differ materially from historical or expected results, include those listed in the filings with the Securities and Exchange Commission, except as required by law, the Company does not undertake any obligation to update any forward-looking statements. Now, for the opening remarks, I would like to turn the call over to Robert Sarver. Please go ahead.
Robert Sarver: Thank you. Welcome to Western Alliance's 2015 first quarter earnings call. First, I'll summarize our strong quarter, and then Dale will discuss our results in a little more detail. We'll then update our outlook, including our pending merger with Bridge, and then we'll open the lines for your questions. Our performance momentum continued into 2015, as we reported net income of $40.2 million or $0.45 per share. That was a 28% increase in EPS from the first quarter of 2014. This has driven by revenue growth of 13% to a $108.8 million, while the increase in expenses was held to a third of that rate or 4.4%, taking our efficiency ratio down to record 46.7%. Organic loan growth for the first quarter was $420 million or 20% annualized while deposit growth climbed to a record $731 million, or more than 30% annualized. Increase in non-interest bearing deposits is a key goal for our Company this year. We're quite pleased that more than half of this growth was in DDA. Driven by our earnings growth, tangible book value increased $0.51 or 20% annualized during the quarter to $10.72. Non-performing assets improved slightly to 1.11% of total assets, while we’ve posted our fifth consecutive quarter of net loan recoveries. Despite our strong balance sheet growth, our high internal capital generation kept our ratios strong with our tangible common equity ratio of 8.5% and common equity Tier 1 under Basel III at 9%. Return on assets was 1.49% and return on tangible common equity was 17.2% for the quarter. Net interest income for Q1 increased to $1 million sequentially and 13.5% over the prior year to $103 million. Non-interest income fell by $1 million from the fourth quarter, which included certain non-recurring revenue, resulting in flat total revenue, despite the fewer number of days in the quarter. On year-over-year basis, total top-line revenue increased 13%. As we projected on our last quarter call, operating expense fell this quarter from the fourth quarter to $54 million and is up just $2.3 million from the first quarter of last year, which is only one-fifth of the $12.5 million increase in total revenue. This improvement in operating leverage drove our efficiency to the new record. Double-digit revenue growth and low single-digit expense growth drove pretax pre-provision income of 5% on a linked-quarter basis and up 23% over the last year to $54.6 million. Improved asset quality and net loan recoveries held-back our provision requirements to just $700,000 for the quarter. Pretax income was $54.3 million, while our tax rate was flat at 26%, producing $40 million in income available to common shareholders. Diluted shares increased to $88.5 million during the quarter, primarily due to the annual issues of equity compensation awards. No shares were issued from our at-the-money stock offering during the quarter. Dale?
Dale Gibbons: Thanks Robert. The cash position at quarter-end increased nearly $500 million but have little effect on the margin due to the late surge of deposits as the average level of cash was flat in the fourth quarter. The securities portfolio yield and balance were stable. While loan growth was consistent with prior quarters, the yield fell 23 basis-points from the fourth quarter to 4.97%. 9 basis-points of this decline was from reduced prepaying the penalties and impaired loan accretion, that we’ve highlighted were high during our last quarterly call and 7 basis points from using a 33-60 accrual for annualization rather than actual. This leaves to 7 basis points of true contraction, which we believe is fairly representative of the operating performance of the portfolio and results then in yield modestly above the weighted loan origination rate during the quarter that we had of 4.89%. Interest bearing deposit costs decreased 2 basis-points to 30 basis-points and our cost of total deposits, including a $2.7 billion of DDA came down the same amount to 22 basis-points. The 9 basis-point margin decrease result from the yield decline was in part mitigated by reduction in funding cost and change in asset mix as loans grew faster than other earning assets. Adjusting for other disposition accretion from purchase credit impaired loans reduces the margin declined to 8 basis-points. Normal accretion on PCI loans declined to $1.1 million during the quarter. At March 31st, we still had unrecognized discounts of $27 million on purchase loans. Most of which we expect to accrue into earnings in future periods. With taxable equivalent revenue rising $0.8 million during the quarter to 116 and operating expense following 2.6 to 54.2, the efficiency ratio fell to 46.7, which was 4 points lower than the 50.9% in the first quarter of last year. At 1,131, FTE employees are flat from year-end and up 2.4% from a year ago. Pre-pre-ROE continues to hover just above 2%, while pre pre-earnings continues to ride with technology. Return on assets was 1.49% as the quarter did not benefit from OREO gains and prepayment fees to the degree that we saw in the third and fourth quarters of last year. Driven by our strong deposit growth, total assets grew 6% during the quarter to $11.3 billion. This cut our loan-to-asset ratio by 1% to 78.4% as the cash balance position rose. The exceptional deposit growth also reduced our alliance on wholesale borrowings during the quarter by 25% to $363 million. During the past year, our tangible book value per share has continued decline faster than our return on tangible equity and it is up 28% from 8.32 a year ago to $10.72 at March 31, 2015. Of the $420 million in net loan growth during the quarter, 1 93 million or 46% was in the commercial and industrial category. This is consistent with our current portfolio mix as it comprises 42% of our total loans. While commercial real-estate loans grew $146 million during the quarter, the rate of increase continue to trail overall loan growth, which was pulled-down to CRE concentration to 44.5% of loans compared to 48.5% of loans a year ago. Construction loans continued to decline and now comprise 9.6% of the portfolio. In the guidance segment led and loan growth for the first time in five years is that it was up $132 million for the quarter. California and Arizona each grew in excess to $40 million, while the $74 million increase in mortgage warehouse and $59 million in non-profit, led the growth in essentially managed business lines. The icing on the case of our $731 million deposit jump was as Robert stated more than half of the growth was in non-interest bearing DDA, which has been a key focus for us this year. The next best category of now accounts, also have that second fastest growth rate as it was up $82 million during the quarter, largely due to continued success of our homeowner association deposit program. The slowest growth rate of less than 2% on a linked-quarter basis was in the most expensive CD category. Organic adversely graded loans, which consist of other real-estate, non-performing loans, other classified loans and special mention, declined to $258 million as credits continued to move through the collection process which is why non-performing loans declined but other real-estate rose by the same amount. As a percentage of loans and other real-estate, total adversely graded assets fell by more than one-third during the past year to 3.4%. 87% of the $61 million in non-performing loans were occurred with regard to principal and interest payments at March 31, 2015. This 87% ratio was the highest performing, non-performing level that Company have had in at least five years. Gross loan charge-offs decreased to $0.8 million during the quarter to just -- or 4 basis points of average loans annualized. While recoveries also declined to $2 million, resulting in net gain of $1.2 million and our fifth consecutive quarter of net recoveries. While our total allowance for loan losses climbed to $112 million at quarter-end from the net recoveries as well as our $700,000 provision, strong loan growth and improved asset quality resulted in the loan loss reserve ratio declining to 1.27% of total loans. This does not include, however, and other $9 million of credit discounts on acquired loans which would add 11 basis-points to this ratio, taking it to 1.38%. Our strong capital growth this quarter was slightly slower than the increase in our deposit driven asset growth, which kicked down our tangible common equity ratio to 8.5%, but it is still up of 4 point in the past year. More stringent capital standard under Basel III coupled with continued balance sheet growth has lowered regulatory ratios from Basel I in effect at the end of 2014, but they are still substantially above the well capitalized thresholds. We expect our capital levels to continue to resume their climb as they have during this past year and future periods.
Robert Sarver: Thanks, Dale. We’re going to have to explain in the event of the call what a performing, non-performing ratio is, that's a new one, I haven’t heard that one before. In terms of looking forward for the next quarter, first regarding merge with Bridge. We did file the regulatory applications two weeks ago and we intend to file the S-4 registration statement here in the next couple of days. We maybe have limited control over these approval tests, but we do think that it’s more likely that this transaction could close in the third quarter rather than the fourth quarter of this year. As mentioned in our last call, we expect to issue subordinated debt in advance of closing the merger to bolster our total capital position to provide the cash component of the merger consideration, pay-off our 10% senior-notes which we’d think are coming due this year and also the remaining SBLF preferred stock. For the current quarter that we're in today, we are looking for deposits to be somewhat flat from Q1, some of that 700 million of balances growth that we had quarter-over-quarter, was from quarter-end accounts kind of filled up and some of that may dissipate a little bit. So the degree we have continued success in garnering low cost stable deposits like DDA, we're going to try to push our wholesale funding costs even lower. Loan growth was also somewhat higher than the expectations for the first quarter, and may moderate this quarter, that's Dale's comments. But we still expect to achieve pre-teen percent increase for the year. While loan pricing pressure persists, we expect margin pressure to be a little more muted during the first quarter than it was during the first quarter, as funding costs declined, disposition accretion may resume a little bit and the day-count start working in our favor. In any event, whatever margin compression may materialize, we expect to be more than offset to balance sheet growth, which will continue to result in our growing net interest income in dollars. While the trend remains for our efficiency ratio to continue to improve, as we approach the mid 40% range, I think that's probably a level that it will kind of hold there. I wouldn’t look for it to continue to decline at the rate it’s been declining, I think once we get to about the mid 40's, that's probably about where we should be running. In terms of asset quality, our outlook continues to be pretty benign, low levels of gross loan losses, and continue to have some tailwind in loan recoveries in Nevada. At this time, I'd like to open it up to any questions you may have.
Operator: Thank you [Operator Instructions]. Our first question comes from Brad Milsaps at Sandler O' Neil.
Brad Milsaps: Robert or Dale, just a follow up on some of your loan growth guidance, I think in the beginning, or last quarter you talked about $1 billion in growth this year, you’re close to half way there, I appreciate the color on maybe some slowing down and maybe in the second quarter. Just curious if Nevada was part of your sort of original calculation that wonder that billion dollars or was that a bit of a surprise this quarter? And just any additional color there on what you see going on in that market that showed some real positive growth for them for the first time in a while?
Robert Sarver: Well, the economy is doing pretty good there now. So, we’re starting to see more loan request from existing customers and new customers. So that's positive. We have forecasted this year for Nevada to grow. But I believe the total growth we forecasted for Nevada for the year was probably something more in about the $150 million range. And so the level of growth they have was probably more than we forecasted for the year. Good thing I think Brad though about the quarter was we had pretty good diversification in loan growth all over, and on deposit growth too, so that, to me, that was probably the most positive part.
Brad Milsaps: No absolutely, and just a follow-up, how many producers did you hired during the first quarter, if any?
Robert Sarver: Not too many really. I don't know, do you the number -- maybe a half of dozen. But first quarter wasn't a big quarter for us, in terms of hiring. Lot of folks are kind of waiting to get their bonus payments during the quarter, and we've got a lot opportunity with this Bridge deal, because they've got a few lines of business that we can kind of export to our customer base. So, we did not have the big quarter in terms of hiring new folks.
Brad Milsaps: With the Bridge deal, obviously, coming later in the year, do you anticipate that your pace of hiring new producers would be similar to last year or was it kind of wait and see with getting Bridge closed and then see what happens or how do you kind of feel about that for 2015?
Robert Sarver: Actually probably pace of hiring, probably a little bit lower, because we have the Bridge coming-in and the integration, we have so much opportunity for growth plus we've got a lot of folks we've hired that are good producers but still have a pretty modest portfolio in terms of what they can handle. And we're getting a lot more referrals from existing accounts. On our annual report we just came up with it's kind of serves as our [main-broker] -- marketing broacher talks about why our customers really love doing business with us. And we’ve built-up a pretty good size internal referral network that is really growing us organically about as fast as we probably should to be honest.
Operator: The next question comes from Brian Klock at Keefe, Bruyette & Woods.
Brian Klock: Dale, you talked about the big build-up and excess liquidity and the strong deposit growth at the end of the quarter. And Robert, you talked about the issuance of sub-debt. I guess, how much of that sub-debt do you think you are planning to issue? I guess, and would you use any those excess liquidity for this in your debt that's maturing or any of those other sort of cash needs you talked about. So what’s your thought process there on the sub-debt and the excess liquidity?
Robert Sarver: We're looking at a $125 million to $150 million of subordinated debt. And I don't know what a number that is but we call that about 5%. And so we've got $58 million remaining of our 10.4% notes that come due on September 1st. So, we would take that out. We have another $70 million that increases in rate from the SBLF. It's at 1% today that moved up to 9% in March of 2016. So, we look at those pieces, and I see the thing is basically fairly EPS neutral. And then also we have about $45 million cash payment to close the Bridge transaction. So, in total, we expect to retire, particularly of their senior debt, that's the most expensive piece out there on this type of thing. And then the rest of it is. It's going to depend upon kind of our ongoing kind of liquidity demands. But this will be -- we're looking at 10-year borrowing, maybe with the five-year call provision in there. So, it will be long-term liquidity for us.
Brian Klock: And then just a follow-up question Robert to Brad’s question you highlighted Nevada being back and stronger. Talk about the outlook again for I guess Arizona and California then for the rest of the year-after. I guess you’ve shown a little bit by Nevada in the first quarter.
Robert Sarver: They all looks pretty good. I mean, we continue to do well. We're looking for Arizona and California to each grow about $300 million in loans for the year. And I think they will get there. So they’re doing well too.
Operator: The next question comes from Joe Morford at RBC Capital Markets.
Joe Morford: First quarter question is on the deposit growth. Just kind of curious if you could speak to some of the drives to the growth this quarter? And was it largely incentive driven given I know it's a big goal for the Company this year? And also, given the strength, it sounds like there may be an opportunity to run-off some of your more expensive funding, or at least change pricing a bit?
Robert Sarver: We're going to try to work on improving our liquidity position a little bit in terms of growing our deposits a little faster. And also, we're more focused, as you've mentioned, on incentives based on non-interest bearing demand, and also improving position by having little less reliance on some of the CEDARs and ICS products and things like that. The deposit growth was also spread out pretty good, $166 million in Arizona, $132 million Nevada, $186 million in California, and then our Alliance Association Bank, our homeowner Association Bank was up 167 million. Now, a lot of their growth comes in that first quarter, because a lot of folks move over January 1, when they sent-out the coupons for the homeowner assessments for the year. So their growth is weighted in the front. And then we had a few large relationships, just for whatever reason, right at quarter-end had a little extra money in there. That's probably a couple of hundred million bucks. And so, that's why we're seeing that this quarter we’ll probably be more flattish or is up kind of modestly. But overall, it was strong quarter for deposits, even considering some of these mitigating factors.
Joe Morford: Pretty encouraging for sure, I guess the other question is on the expenses recognized. Fourth quarter was somewhat inflated, are the first quarter numbers a good run-rate to build-off however there’s some seasonal and onetime items in there that suggest perhaps a lower run rate?
Robert Sarver: It's pretty good. The first couple of quarters, we've got a few things getting amortized like our director stock brands, getting amortized over that, that's about 1 million bucks. But overall, I think it's pretty good run-rate. It didn’t seem to be too much unusual in there to the plus or the minus.
Dale Gibbons: I think it would come up by -- we put an inflation number on that or something like that, but nothing. There wasn’t anything that notably depressed the first quarter at all. And as you know, we start over again with FICA and everything like that, that starts to pay really in the second quarter. So we've got some positives moving in our ways as well. But overall, I think the expenses are going to continue decline but albeit at a fairly low slow.
Operator: Our next question comes from John Moran at Macquarie.
John Moran: Just a follow-up on that one, on OpEx, if I heard you right, there is 1 million bucks in director's fee, that sounds it came out and then you mentioned I think either in the press release or in the slides, something about some kind of non-recurring systems costs or IT costs.
Robert Sarver: I think that was more probably last year. I think we're -- I wouldn't make any adjustments on that. The stock brands we give the directors they’re best on June 30th for the year. So we just amortized them over the first two quarters.
John Moran: And then just a follow-up on Bridge, it sounds like you guys are thinking now that you might be able to get that one done a little bit quicker. And so, I think you'd mentioned in 3Q, is there a sense of when in 3Q that might happen or is it still little too early to kind of put a final point on it?
Robert Sarver: It's a little too early to call. I mean there is just -- we have basically two approvals tasks, one with the Federal Reserve and the other with SEC. And so, those are -- after we get this registration statement filed this week that will be in process the other one already is. And there is a Q&A look back on those types of things. And it's really hard to predict exactly how that necessarily going to play out. But overall, we think that it’s more likely to be in the third quarter than the fourth.
Operator: The next question comes from Casey Haire, Jefferies.
Casey Haire: Question on the loan-mix, I think you mentioned over the last year, C&I’s become a bigger piece of pie versus CRE. Is that -- are you guys -- is that on purpose, you guys trying to position the balance sheet for higher rates? And if this continues, do we see the asset sensitivity profile continue to improve?
Robert Sarver: Yes, some of it's on purpose and some it’s just related to the markets, and some it's related to some of these niches we're in. So, a few of these niches, like our public finance and non-profit stuff, mortgage warehouse stuff, those are mainly C&I. And so that's part of it. And then part of it is, the more credit looks commodity based the worse the pricing and sometimes the worse the risk that our industry gravitates to. And so on lot of real-estate the competition in the pricing on some of this owner-occupied stuff and then some of the investors stuff is to the point that it were -- a lot of those fields were just not doing because we don't think they're priced to account for risk properly and profitability. So part of it is strategically like that. We are setting up a real-estate securitization group, and we're going to be doing some of our own permanent mortgage securitization for commercial real-estate. And I think towards the second half of the year that will be something that will allow us to service our customers a little better and make some more money. So, it's partially kind of the niches we're in and it's partially just the competition out there. And real-estate is kind of back and as you know what happens in our industry when things are popular, sometimes they're not real profitable and the risk gets a little overlooked.
Dale Gibbons: But you’re John. It has resulted in a migration to more asset sensitive balance sheet without any type of management interference. And we think we’re pretty comfortable with where we are, but we're not grossly asset sensitive, I wouldn’t say that.
Casey Haire: And then on the M&A front just curious what's -- obviously look you guys going to be working with regulators to close Bridge by 3Q. But does that preclude you guys from looking at other prospects, or are you guys taking a breather or are you still kind of out there looking?
Robert Sarver: No, we're always looking. And the big part of looking is just developing these relationships and getting meet with these banks and getting to know their business and having them get to know. Like with Bridge where we've spent half-a-year-to-year kind of getting to know each other. So, we're always looking. It doesn't preclude us from doing something else. But at the same time, we don't have anything else signed-up right now but we're always looking. And we want to make sure that we do this Bridge deal right for them, their customers and integration, and all that. So, we're kind of balanced at all that out. But if you have a good idea or good deal, send it our way.
Casey Haire: Okay, just following-up on that, is California is still the most target rich even with the Nevada is in?
Robert Sarver: Yes, I mean that’s in the good and bad of Nevada and Arizona, there is nothing to buy. So, it's a negative from an M&A standpoint but from a competitive standpoint and organic growth, it’s great.
Operator: The next question comes from Gary Tenner, D.A. Davidson.
Gary Tenner: Just hoping you could provide a little more color on the loan segments that drove the Nevada growth this quarter?
Robert Sarver: Loan segments that drove Nevada, some owner occupied commercial real-estate and some investor commercial real-estate.
Gary Tenner: Okay, so not anything on the construction side, or nothing meaningful?
Robert Sarver: No, not much, I mean we've got a few things there that we've started with, but haven't really funded much, but not too much on the construction side there.
Gary Tenner: And then the stuff you're looking at on the construction side in Nevada. Is that commercial or is there any residential construction in there?
Robert Sarver: The stuff we're working on right now in Nevada on the construction piece is strictly just bread-and-butter residential construction to larger builders with good balance sheets and pretty conservative advanced rates.
Operator: This concludes our question-and-answer session. I’d like to turn the conference back to management for closing remarks.
Robert Sarver: Okay, nothing really else to add. I guess, just another good quarter in terms of growth and operating leverage. And continue to just kind of pound-up some good returns and keep her going. So, we'll look forward hooking up with you guys in 90-days and report on our second quarter. So, thanks for taking the time and participating on the call and keeping up the speed with us. Have a good day everybody.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.